Carl Cowling: Good morning, everyone. I'm Carl Cowling, Group CEO, and I'm here with Robert Moorhead, our Group CFO and COO. It's great to see those of you here in person, and welcome to everyone who has joined the webcast. As usual, we will give you an update on our performance for the 6 months ending the 29th of February 2024 and will also run through the highlights and important strategic growth opportunities for the group. In a moment, I will hand over to Robert, but let's start with an overview of the half and turning to Slide 3. We have a clear strategy to continue to build a world-class global travel retail business, and this is being executed well. As a result, we have delivered another good half, delivering profits of GBP 46 million with total group revenue up 8%, and we continue to invest for further growth. And I'm particularly pleased with our performance in Travel U.K. in the half, which grew its profit by 19%. We continue to see strong momentum across all our markets as we benefit from growing passenger numbers and space growth opportunities. The team has been working exceptionally hard, and we have successfully opened 53 new travel stores across all three divisions, and we now have a new store pipeline of over 80 stores won and due to open over the next 3 years. Finally, the Board has today announced an interim dividend of 11p, reflecting its confidence not just in this year, but in the group's excellent prospects. Turning to the next slide. Now before I pass over to Robert, I just want to tell you why I'm so pleased with how the business has evolved into the global travel retailer we are today and explain why there is so much more room for growth across each of our divisions. As many of you know, we have spent the past couple of years transforming the travel business from a news, books and convenience retailer to a one-stop shop for travel essentials. This is going extremely well. And what's most exciting is that there is still a long way to go to maximize all of the opportunities that exist. By using our forensic approach to space management we are able to consolidate categories and introduce new ones such as health and beauty, tech accessories and of course, food to go. We are identifying the best ranges to ensure we provide landlords and customers with an optimal proposition for our passengers. Our ATV is still only around GBP 10. So there's plenty of scope for growth. The most vivid examples of this, all of our stores and channels. We've been rolling this out in the U.K., and we're seeing really positive results. And yet we're still only at the start of this journey across our international and U.S. businesses. In North America, where our strategy has been to grow our market share, we have all of this to come. If you then look at space growth, the group has an enormous opportunity to grow its space in both existing and new markets. We have a highly scalable proposition. We are now in 32 countries and the opportunities are significant. And finally, a key growth driver is passenger numbers, which are forecast to grow in the short and medium term. All of this is focused on driving strong revenue growth, EBIT margin accretion and generating high levels of cash as we scale our fixed cost base. I'll now hand over to Robert.
Robert Moorhead: Okay. Good morning, everyone. Let's start off with the group financial summary. As usual, the numbers I'm going to refer to are pre-IFRS 16 and there are some bridges to IFRS 16 in the appendix. We had a good half with headline profit ahead of last year at GBP 46 million. Revenue at GBP 926 million was up 8% on last year. And EPS was 24.4p, up 5% on last year. We're investing for growth. The free cash flow in the half was an outflow of GBP 56 million reflecting the investment that we have made in the first half. And as expected, the increasing seasonality of the group as travel becomes a bigger and bigger part of the business, and I'll come on to all this later. We've announced an interim dividend of 11p per share, which reflects the strong business performance, our strong cash generation and our confidence in the outlook. As before, we expect the interim to reflect about 1/3 of the dividend for the full year. Let me just remind you that last year, it was the first interim dividend paid post-COVID hence, the large percentage increase for this year at the interim stage. It is illustrative of the strength of our cash flow that at the same time as investing in our business and increasing our dividend, we are seeing our leverage fall. As at the end of February, it was 1.8x versus 2.9x last year. So turning now to the analysis of revenue. Total group revenue for the half was GBP 926 million, up 8% on last year, driven by all three divisions in travel. Travel was 72% of group revenue and this will increase further as travel continues to grow and we open more stores. Current trading remains good. Like-for-like revenue in travel was up 10% year-on-year and up 15% in total on a constant currency basis, reflecting a strong operational performance and the continuing increase in passenger numbers. All three divisions saw strong revenue growth in the half. We opened 53 stores and expect to open around 110 stores by the end of this financial year. I'll come on to the divisional performance in travel in a minute. Our High Street business, including the Internet performed in line with plan, generating revenue of GBP 256 million. Current trading too is in line with plan. So let's look at travel in a bit more detail on the next slide. Travel performed strongly in the first half, the performance that has continued into the second half with the first 7 weeks, up 9%. Starting first in the U.K. Total revenue was up 15% on 2023 and up 13% on a like-for-like basis. In all three channels, we saw the benefit of our 4-pillar strategy, which Carl will come on to in more detail later. Air was up 14% on a like-for-like basis and in total, and we expect further growth in the second half as passenger numbers continue to increase. Hospitals were up 16% in total and 14% like-for-like, and Rail was up 17% in total and 13% like-for-like. Overall, in U.K. travel, we opened five new stores in the half and expect to open 15 in the year, in line with our expectation of opening gross 10 to 15 new stores each year. In North America, we also saw a good performance. Total sales were up 13% on a constant currency basis. We've combined our core MRG airport business with our InMotion business, bringing a number of strategic and operational benefits, which Carl will touch on in more detail later. North America Air business going forward. This now accounts for approximately 75% of total North America revenue. And in the first half, we saw Air like-for-like up 2%. We are seeing air passenger numbers grow and strong demand for our travel essentials categories. We're excited about the prospects for our North American business, not only in growing market share this year and into future years, but also from applying our forensic approach to retailing as we gather increasing amounts of data on how our stores perform. The rest of the world continues to grow, too, we opened 35 stores and total sales were up 24% in the half on a constant currency basis. We opened our first of six stores in Budapest and we continue to see passenger numbers increasing in Asia and Australia back towards 2019 levels. Current trading and travel has been good, as expected. We've seen lower growth in the second half to date which reflects the annualization of the strong recovery in passenger numbers that we saw through the second half of 2023. Spend per passenger remains strong. And in North America, the change in the growth rate reflects the timing of the new store opening program. So turning now to the income statement. Headline profit before tax was up -- was GBP 46 million, up on last year, driven by travel, which delivered a profit of GBP 50 million compared to GBP 47 million last year, and travel generated nearly 70% of group profit from trading operations and that proportion as for revenue is going to grow. In U.K. Travel, profit improved by 19% from GBP 31 million to GBP 37 million due to higher revenue and improved margins. We expect further profit growth in the second half. North America, now our second largest division by profit, delivered a profit of GBP 14 million, in line with last year. In North America, we've increased revenue and improved gross margins, and at the same time, we've invested in our store estate and to support growth. In the rest of the world, the loss of GBP 1 million reflects preopening costs and investment in new stores. as we continue to build the business in this division. Our travel business is better placed than ever. We have significant opportunity to grow space and increase revenue each year into the medium term which, together with our forensic approach to retailing and cost leverage also drives EBIT margin accretion. High Street delivered a profit of GBP 22 million as expected. We still see significant scope for cost savings, particularly rent and the business is on track to deliver around GBP 13 million of cost savings in this financial year. Overall then, group profit from trading operations was GBP 72 million. Central costs are flat year-on-year. Financing costs at GBP 13 million includes noncash accretion of GBP 4 million relating to the convertible bond. So that results in headline profit before tax at GBP 46 million ahead of last year. So turning now to the cash flow. We are a very cash-generative business. And as we become increasingly travel-focused, this will grow further. There are three key points to note on the free cash flow for the first half. First, we generated GBP 94 million of operating cash flows as the business increased its profitability in the period, reinforcing the point on cash generation that I've just made. Second, the investment made in the business with CapEx in the half of GBP 65 million, including the new store opening program. We opened 53 new stores, including a further 13 in North America. We anticipate our investment for the current year to be around GBP 140 million, which includes opening around 110 new stores, reflecting both the opportunities we have, plus our confidence in the markets in which we operate. We're getting good returns on these investments. generating a ROCE ahead of our cost of capital in each of the three divisions. Third, as expected, working capital was an outflow of GBP 68 million, which mostly relates to the seasonality of the business as travel continues to grow. The balance then is primarily the investment in new stores. Taking into account the working capital cadence and the level of operating cash flows generated in the second half. We expect to generate a substantial free cash inflow for the full year. So turning now to the net debt. Net debt at the end of the half was GBP 437 million giving the group a leverage of 1.8x EBITDA compared to 2.0x last year. As well as the free cash flow, we then had GBP 51 million of outflow on nontrading items of which the biggest items for the GBP 27 million final dividend payment announced in November and paid in January and GBP 12 million to the ESOP. The group has a 5-year GBP 400 million sustainability link facility, which was drawn by GBP 176 million as at 29th of February. We also had the convertible out to May 2026. So we have plenty of liquidity and capacity to invest. And just to remind you, the coupon on the convertible is fixed at 1.625%. We have a strong balance sheet, and our leverage ratios continue to fall as our profits grow. We expect full year net debt to be around GBP 330 million and to be inside our leverage envelope. Let me move now on to our capital allocation policy. We remain focused on maintaining an efficient balance sheet and on our disciplined approach to capital allocation. First, investing in the business where return are ahead of our cost of capital. We're investing for growth, growth in new stores, refurbishing our existing estate and winning better quality space and we have plenty of opportunities to do this. The returns we get from this are good, with ROCE in the U.K. at 32%, for North America 15% and Rest of the World at 16%. Second, paying a dividend. We recognize the importance of a dividend to many of our shareholders. So we have a progressive dividend policy and would seek to grow our dividend at least in line with EPS growth with a target dividend cover of 2.5x. The Board has proposed an interim dividend of 11p, Thirdly, undertaking value-creating acquisitions in the travel space. And finally, we have a long track record of an optimized balance sheet and returning surplus cash to shareholders for buybacks. I'll now hand back to Carl to talk about the operational performance.
Carl Cowling: Thank you, Robert. At the beginning of the presentation, I told you about our key growth drivers and underpinning these is our forensic approach to retail. This attention to detail is a key driver of our success. We are now a multi-format, multi-brand global travel retailer operating over 1,200 stores across 32 countries with significant growth opportunities. And while each of our divisions is at a very different stage in their evolution with the U.S. only at the beginning of this journey, we are seeing good results, and we are continuing to win new space globally. We have seen a strong track record of success through the development of our one-stop shop for Travel Essentials format. As you've heard, this approach presents good growth opportunities across each of our divisions into the future. And we never lose sight of the importance of maximizing the returns of every meter drop of selling space across every individual store. Finally, as you would expect, we are always committed to tight cost control across the group. Turning now to Travel U.K., which is our largest division. I'm very pleased to say that we have had an excellent half of strong growth with first half profits up 19% to GBP 37 million and a strong half of like-for-like revenue growth of 13%. The business is benefiting from the successful execution of our 4-pillar strategy, space growth, increasing spend per passenger, category development and of course, cost management. We continue to invest, and we are on track to open around 15 stores in the current financial year. the majority of these in our hospital channel. And we see this annual space growth of around 10 to 15 new stores in U.K. travel extending into the medium term. We remain focused on driving spend per passenger and ATV, and this is delivering excellent results with revenue growing ahead of passenger numbers. Turning now to our performance in Air in the U.K. I'm pleased to say that we've delivered an excellent performance across our U.K. air channel, with like-for-like revenue growth of 14%. Our one-stop shop format is delivering good results across all our airports improving profitability and generating significant opportunities. If we take our flagship store at Birmingham Airport as an example, which is trading ahead of plan. Birmingham is our largest U.K. travel store covering 6,000 square foot selling space with a localized design tailored to the requirements of the landlord and providing passengers with a bespoke customer experience. Encompassing everything you would expect from WH Smith as well as a broader product range, including health and beauty, tech zones, food-to-go and coffee. By widening our offering, creating a fast, convenient shopping experience, customers are putting more items in their baskets, which in turn increases our spend per passenger and drives ATV. As I said at the beginning of the presentation, the exciting part here is that this is a highly scalable format and not only applicable for our larger stores in Air but any store of any size. Turning to the next slide. The hospital channel is a successful channel for us and is the second largest by revenue behind air. We continue to execute our strategy, which has delivered a strong performance in the half with like-for-like revenue up 14%. Our success in hospitals illustrates our ability to generate increased profitability from our stores by improving our retail proposition. For example, tailoring our product offer to the specific requirements of hospital staff, patients and visitors by providing an increased range of food, health and beauty and tech accessories. It's a growing market, and we're on track to open eight stores this financial year. We see plenty more opportunities for us to continue to grow our space and improve the retail proposition under our broad suite of brands and new formats. And we continue to invest across our existing store portfolio as well as driving further growth with a strong store pipeline. Turning to rail, where we have delivered another strong performance despite industrial action, with like-for-like revenue up 13%. In line with our other channels, we continue to focus on investing in new formats, improving our ranges to increase spend per passenger and customer conversion and to also driving ATV. This includes adding a new InMotion store to Euston Station and widening our health and beauty ranges across many of our stores. Moving on now to our North American division on the next slide. The most exciting opportunity for growth is our North American division. I spend lot of time in the U.S. Only a few weeks ago, I was in New York with the team visiting over 30 of our stores there. Our approach here is inevitably different to that in the U.K. as it's still at a much earlier stage of development. Much of our focus in energy in the U.S. is centered on winning and opening new stores and building our market share to 20% over the next 4 years. Interestingly, we are currently part of more live tenders at any one time than we've ever been involved in before. If you look at space alone in North America and take the top 70 airports, there are a total of around 2,000 news, gift and specialty shops across these airports, of which we operate or have won [ 2 of 60 ]. And on the screen, you can see our position in the top 25 alone. The dark blue shading shows our presence currently within these top 25 airports, and the white space shows the scale of the opportunity in our categories by location. I think it's very clear to see from this data why we have many reasons to be optimistic about our North American division. Let's now turn to the next slide. As I said, North America is our most exciting growth business, and we see excellent prospects to grow this division in airports where we continue to perform strongly. During the half, we delivered profits of GBP 14 million with total revenue growth of 13%. A key driver of our growth has been our ability to win significant new tenders. As I've already said, we are currently part of more live tenders than we've ever been involved in before. We now have a new store pipeline of over 50 stores, won and due to open. During the period, we opened 13 stores, including new store openings at Denver, Los Angeles and Salt Lake City airports, and we're seeing good returns. We have a very busy second half with a further 30 stores due to open this financial year. North America now represents around 50% of our international store estate, and the potential for further growth is really substantial. In addition, we continue to focus on improving both the quantity and quality of our space, which I'll come on to as well as providing landlords. We are confident that there are many more tenders to come. And with our record of success, you can understand our confidence in building market share. Turning to the next slide. And I thought I'd update you on what we started doing within the existing business to make it better and more efficient  and optimize the opportunities that exist. As a retailer, what is really exciting for me is the scope to improve the quality of our space and apply the learnings from our U.K. stores to this division. We continue to invest significantly both in new stores as you've heard, but also improving the operational performance and margins of the business. Firstly, now that some of our stores have been trading for an extended period, we have the data to allow us to start applying our forensic approach to space management. A really good example of this is why we've introduced tech accessories into our MRG stores and operationally merged in motion into MRG. This now means we have one manager per terminal in airports resulting in efficiencies and also an improved retail offer for customers and our landlords across our estate. Secondly, we've been reviewing our ranges, and we are introducing more drinks chillers into stores by increasing the space for drinks by around 20% for an average store. Another good example, as we do in the U.K. is the introduction of improved planogramming for each store so we can better analyze and manage space on a store-by-store basis. All of this will drive better returns. And just to be clear, we're only at the very beginning of this journey. In addition, we have invested in furthering our supply chain capabilities on the East Coast with a new consolidation center being implemented in New Jersey. This will provide key supplier efficiencies by combining all direct deliveries from our suppliers to New York and Atlantic City into one delivery center, enabling a single combined delivery direct to our stores. We have also further invested in our head office infrastructure to ensure we can support our ambitious store opening program. All these investments has meant that we've seen profits flat in the half. However, these investments put us in a very strong position for the second half and beyond. Turning now to the next slide and our rest of the world division. Our Rest of the World division is very much about investing for the future. We have a very clear strategy here to continue to enter new countries using our three operating models of directly run joint venture and franchise and build our presence over time to leverage our fixed cost base and grow net margins. And the scalability of the group's retail format is very clear, having entered 29 new countries since we opened our first international store in 2008. From this base, there are still very significant market share opportunities in the international travel retail markets, and I'll come on to this in a moment. We also continue to be successful in winning new tenders by using our expertise from our North American division to localize our retail proposition in more stores across the world, and we see further good opportunities across all markets. And as you would expect, we are focusing on driving ATV and spend per passenger by doing similar work to that in the U.K. by expanding our categories and introducing a broader offer for customers to include tech accessories, health and beauty and food. Turning now to the next slide and building the store pipeline in the Rest of the World. We're in a strong position where we're opening new stores, we are pleased with their performance, and we tend to track significantly ahead of the previous incumbent. We have opened our first stores at Budapest Airport, which is a new market for us, including our flagship store, which you can see on the screen. This is a great example of how we've localized the store design to create bespoke stores, and we see further good opportunities across all markets. In addition to Budapest, we've also opened stores in Australia, Spain and Sweden with a further 16 stores due to open in the second half. Turning now to the next slide and the outlook for our global travel business. As I said at the very beginning of this presentation, my confidence in this business is underpinned by each of our key growth drivers. New space and improving passenger numbers, but also broadening our categories and improving our ranges to increase spend per passenger and ATV. Each of our divisions are at very different stages of evolution, and we're equally excited about [indiscernible] the transition to a one-stop shop for Travel Essentials. In North America, our energy is focused on winning and opening new stores and increasingly to manage the space we operate more effectively. And in the Rest of the World, we continue to build from a small base, improve our retail offer and build scale to leverage our fixed cost base. We continue to win new tenders and our new store opening program is on track. Passenger numbers are forecast to grow. So this, combined with our own initiatives puts us in an excellent position to deliver this year and beyond. Turning now to the High Street. During the half, we delivered a good performance in line with expectations, delivering profits of GBP 22 million. As we grow Travel, this division is becoming an increasingly smaller part of the overall group. It now accounts for around 15% of group profit from trading operations, but it's profitable and highly cash generative. We continue to manage our space in High Street to maximize returns and maintain a flexible cost structure, and it continues to deliver good results. As part of this space management, we have recently signed a new exclusive agreement with Toys"R"Us to deliver a further 30 store in stores in the second half of this financial year. This follows a successful launch last year and will provide customers in these locations with an improved toys and games offer. During the half, we have delivered savings of GBP 8 million in line with the plan, and we're on track to deliver GBP 5 million of savings in the second half. These savings come from across the business, including rent reductions at lease end of around 40% as well as logistics and supply chain efficiencies. And just to remind you, we have a very flexible lease portfolio in the high street with short leases where our average lease length is now just under 2 years. This has set us up very well to respond quickly to changing market conditions. We have around 475 leases due to expire over the next 3 years. Given this rolling program of lease renewals, we therefore, have further opportunities to renegotiate our occupation costs going forward, and we expect rent reductions to remain a key component of our future cost reduction strategy. Even after years of savings, the High Street cost base is still substantial. And we continue to see opportunities for further savings. Turning now to our ESG commitments. We have excellent sustainability credentials, and we continue to make good progress. We know that our customers, our colleagues and business partners all want us to act in a responsible way and that operating sustainably enables better business performance. You can see some of our achievements on the screen, including being a top-performing specialty retailer in Morningstar Sustainalytics ESG benchmark and being awarded a AA from MSCI ESG ratings. Our Scope 1 and 2 emissions continue to fall and more than 25% of our supply chain emissions are now covered by science-based targets, demonstrating good progress towards our target of 30% by the end of the year. We continue to champion children's literacy in partnership with the National Trust. Our financial assistance is providing direct earlier supports to families and communities where help is needed. Turning now to our final slide to summarize. The group is in a strong position and the second half has started well. As you have heard, we see good growth opportunities across all three travel divisions. It is very evident that our travel business is highly scalable, and we now have over 1,200 stores across 32 countries. We are a highly cash-generative business, and we have announced today that we will be increasing the dividend, reflecting the board's confidence the future prospects of the group. Finally, we are confident we are on track to deliver the full year in line with expectations, and we remain fully focused on creating value for our shareholders. So that's it from me. Thank you, and we'll now take your questions starting with those of you in the room.
Jonathan Pritchard: Jonathan Pritchard from Peel Hunt. Firstly, a question on resorts. You haven't mentioned that at all. But I'd imagine you had a pretty bumper first half. Vegas had Grand Prix, Super Bowl, the U2 thing opening. Were you able to take advantage of those sort of slight one-offs and then leverage into profitability? Because you haven't mentioned that, it's also I wonder what whether that move forward at all and what the prospects are there? Secondly, how much better the gross margins in the one-stop shops versus the rest of the chain? And then closures, still quite a lot of closures, I understand a bigger one, that's fine. But Rest of World, 22 closures seems quite a big number, and that's on top of a quite a big number in the last few years. So what are those probably Rest of the World closure is going to come to an end.
Carl Cowling: But if I take the first two, Rob, and you take closures. So resorts, it was a tricky first half. First of all, there's a major cybersecurity instance, MGM, which really affected bookings in the U.S. The Grand Prix wasn't beneficial to trading. They rebuilt the entire strip in Las Vegas. So there is a huge, huge amount of disruption. So we've got all of that to anniversary next year. We're really pleased with our Resorts business. And Las Vegas is a very robust market. It is operating differently though to last year. There's far fewer first-time visitors coming into Vegas. It's gone back to where it was, which is conferences, sports and events. And so we're adapting our ranges to make the most of that. We're introducing merchandise. And we're starting to see some real benefits from that. But actually, I think in answer to your question, Jonathan, we're quite looking forward to anniversaring the first half of this year in resorts. In terms of gross margins from one-stop shop, I think what's quite exciting about our move from news book convenience into one-stop shops is that effectively, some of our business is shifting from lower-margin categories into higher gross margin category. So will have a smaller proportion of our business, for instance, in news and magazines and a higher proportion of our business in tech accessories and health and beauty. So actually, you'll see the gross margin of the range improved from that point of view. Robert, do you want to take closures?
Robert Moorhead: In terms of closures, we had 22 in the first half. Most of those are smaller franchise businesses. For example, there were seven in India, which were small hospitals and some small metro stations. So really nothing significant in those franchises that are closing. In the second half, be a much lower number, expecting around 4% in the second half. There will always be some churn in the portfolio. We'll always have some closures, but we would always want to have more openings than closures, clearly, but it should be a much lower number in the second half.
Harry Gowers: Harry Gowers from JPMorgan. First one just on, I mean, the InMotion and the resorts business, where the organic growth is negative at the moment. That's obviously offsetting the growth in MRG. So is there anything you can do or initiatives that you can do to return to growth? Or are you just at the mercy of the environment there a little bit? And I mean is there anything structurally impaired do you think about those businesses? Or is this purely a cyclical element of play? Second one, just on the U.K., do you think the like-for-likes there will refer normalize to a more historical kind of low single-digit percentage? Or has there been a step change there on the category expansion and the initiatives which means that the midterm outlook maybe could be mid-single-digit percentage on the like-for-likes? And then just final one. I mean your leverage is coming down again this year, you'll be in the range despite the growth. So is there a level where you might consider returning additional cash to shareholders? Obviously, you've done buybacks historically.
Carl Cowling: Try answering one and two and need you in three. So in terms of the U.S., I think we're very confident about our resorts business as I was saying to Jonathan to his question, I think we're quite looking forward to anniversary in the first half actually in the resorts. And the flow of people into Las Vegas is good. And it's always been good and there's more -- there's lots of reasons to be very excited about Las Vegas. There's more sports going into Vegas. There's more reasons to be there. It's just that the nature of who's going has reverted back to where it was around 2 or 3 years ago and before the pandemic, and we need to adapt our ranges. And we're doing just that. There's a lot of initiatives that are going in place now. So I feel that a really high degree of confidence about Vegas returning into growth. InMotion is more tricky. The tech market in the U.S. is difficult, and that's why we took the opportunity to do what we've done in the U.K., actually, which is to broaden out, created range of tech accessories into our wider store portfolio. And that means that the tech accessories as a category is a really strong business for us because we've managed to manipulate the space, create space in our key MRG stores and we're able to sell AirPod Pros and the key accessories in those stores. So the tech accessories business is a good business. The InMotion stores singularly by themselves are still negative and will remain so. But I think that tech accessories category will do very well for us. In terms of the like-for-likes in the U.K., I think where they'll settle is that there will be small amounts of passenger growth, and our business will grow in line with that. I think the work that the U.K. travel team have done around spend per passenger, I believe we're just still at the start of that, our ability to improve ranges of health and beauty, tech accessories, food, we're launching a new sandwich range in 3 weeks' time. There's lots of initiatives that I believe will continue to improve the spend per passenger. And then, of course, there will still be new space, and we will still target to open 10 to 15 new stores. So I think a specific answer to your question, I think when you look at the growth, it's sort of single digit, but sort of the right side of [ 5% ]. Is that fair, Robert, or have I said something wrong. Robert will hit me if I am going too far. And then in terms of leverage, Robert.
Robert Moorhead: In terms of the buyback, I mean the first thing I think to say is that in all the years I've been doing this, we've always been very shareholder-friendly, and that hasn't changed. First thing we need to do is get inside the envelope. And then we need to balance that off with all the investment opportunities that we see out there. And I think the worst thing would be for us to miss those investment opportunities. And the final thing, I point you back to the capital allocation policy. We've been very clear. We had the full uses for the cash, and we have a hierarchy of the usage of those -- of that cash. And if we have surplus cash, the fourth one is we'll give it back to shareholders. But let us get into the envelope first, please.
Fintan Ryan: Fintan Ryan here from Goodbody. Two questions for me, please. Firstly, just in terms of the category mix within the U.K. Can you give us a sense of where food and beverage are in terms of where overall sales within the travel channels and like where you think that could go to within the U.S. post the investments around sort of new chilled cabinets and how do you think that the sort of portfolio mix in the U.S. can change versus the U.K. in time? And secondly, just with regards to margins within North America. I think historically, you've guided to around about 50 basis points per annum margin expansion within that business. Is that still true for FY '24? Or is there any sort of other moving parts, particularly with the integration of in motion with MRG. Are there additional cost savings there? Or is that 50 basis points still a good place to be at.
Carl Cowling: So when it comes to food to go in the U.K., we tend to be a bit cagey about giving out the splits because we see it as a quite key advantage over our two main competitors. We have a very, very good food-to-go range and we have an extremely good range of drinks and stacking that combines to provide a really good meal deal. And it's a significant chunk of our business. The scale of that just doesn't compare in the U.S. I mean, we will sell a fraction of the amount of sandwiches per store by a fraction, I mean, sort of below 5%. So there is a whole heap of work that we're doing in the U.S. to work out how do we have a proper food to go offer, how do we improve our range of drinks, how do we improve our range of snacking. And all of that's to come. We spent the last 2 years winning and opening stores across the United States, lots and lots of different formats, lots and lots of different brands. But actually, the core of the store is the same. It's about convenience. And now we've got all of these data points that we've been operating in lots of different parts of the states over the last 2 years. And we kind of know now what does and doesn't work, where we can take the space from? And I think that's what becomes very exciting about growing our business. And that's all the work that we've done really over the last 10 years in the U.K. And I see a world where we're going to dramatically increase the chillers this year. But I think we'll continue to increase the chillers and improve that range and improve the space productivity of that store. And when I look at what others are offering in U.S. airports, I think there's a real opportunity for us to take market share there. So I'm very excited. And then in terms of the margins, Robert?
Robert Moorhead: In terms of the 50 bps yes, that's still where I'd be on that.
Fintan Ryan: And just actually to follow up. I know you mentioned in the previous question around do you think sort of the U.K. like-for-likes could be somewhere in that sort of mid-single-digit range, bear in mind the resorts and the InMotion business in North America, is that mid-single-digit range, like a plausible place for you to be sort of as an exit rate for FY [indiscernible].
Robert Moorhead: [ Return to a learned council ]. I think for FY '24, given  we are more than halfway through it. I think that's not right. Going forward, can be driven largely by passenger numbers and passenger numbers and all the forecasts have got them growing at low single digits. And then on top of that, we'd expect to get some additional benefits from all the work Carl just described. So in that kind of region probably for FY '25, but not for FY '24.
Carl Cowling: I'll come to you in the end, [ indicators ].
Timothy Barrett: Tim Barrett from Numis. Two questions on North America, please, if that's possible. Can you talk about the last 7 weeks? I know it's only a very short amount of time, but was there anything in March and April that's driven like-for-likes, particularly in the North American market? And then a question -- a similar question on margins, really, but you're very clear you're investing for growth across North America. Are you able to give a figure around preopening costs or restructuring costs that kind of thing, which can help us understand that investment? Or if putting it differently, what the kind of normalized profit margin might be in North America over time?
Carl Cowling: In terms of the last 7 weeks, it's broadly the same for the year. So a lot of the work that we're doing has been happening now. So the expansion of tech accessories in MRG stores as starting and is continuing over these next few weeks. A lot of the stuff that we're doing in Las Vegas around putting in chillers, putting in screens, changing the range mix. All of that has been happening now because it's a bit of a quiet period at the moment. So all of that is to come as we exit out and we start to go into the summer. But with all of that disruption, the sales are still where they have been. So I would take that as a bit of a positive. So with disruption, we've managed to maintain the sales rate. And then in terms of the...
Robert Moorhead: In terms of margins, Tim, the best way to think about it is sort of as we look ahead, we did 13 -- there was about 13% EBIT margins last financial year, so FY '23. If you start applying that [ 50 bps ] movement, which over each year over the next -- in the medium term, I'd say the norm getting up to 15% EBIT margins. They won't get as high as the U.K. EBIT margins just because of the additional cost of operating in such a large country. And we get all the benefits in the U.K. of operating with the intensity of a small country and limited number of distribution centers. But in the U.S., we'll need at least two distribution centers over time. So those kind of things will mean the margins won't get as higher in the U.K., but still at 15% over the medium term is still significant margins compared to our competitors.
Timothy Barrett: Just to be clear, the like-for-like is negative in North America in over 7 weeks with total sales plus [ 4% ].
Robert Moorhead: There's no change to the like-for-like trends that we've seen over the last 7 weeks. They're probably the same as they were.
Richard Chamberlain: It's Richard Chamberlain, RBC. I've got three, please, for you guys. I just wondered. Carl, maybe to start, you just comment on why you think you have been for a relatively quiet period for tenders in the U.S. and how you see that sort of whether you see that picking up now in the second half next year? And then maybe you can comment on is there any change or sort of happening to the cost of shop fit in the U.S. and Rest of World. And I guess in Rest of World, how the sort of payback is looking for recent store openings? And I imagine it's probably a little bit longer and preopening costs and so on, but just how that's sort of looking at the moment, that would be helpful.
Carl Cowling: In terms of the tenders, I honestly don't know, they never give a timetable. So the there's been a huge gap in terms of the amount of tenders and then literally five were launched all at the same time. And it's kind of just how it happens. We know that there are a number of key markets, a number of key airports where contracts are pretty much coming to an end. So whilst we've got no certainty, our view is that there will be a number of tenders over the next year. I'll give you a key example, Atlanta, we know that most of that business will come up for tender at some point quite soon. And that is the largest airport in the world. I mean it's 3x in air passengers as Heathrow. So there's a lot to be excited about. And as I say, the team are spending so much time at the moment working through how do we get the best proposition in all of the tenders that we're participating in at the moment. So it's quite an exciting time. But yes, you're right. I mean, it would be better if there was one a month, but it's just how it is, and we have absolutely 0 influence over it. And Robert?
Robert Moorhead: In terms of the fit-out costs, Richard, about 18 months ago, we would have been at around $1,000, $1,100 per square foot. We've got that down now to around $900. I think there's more we can do. We're focused on it. We've brought some new people into the business and the construction side, you've got a lot of experience in North America travel construction. And there are lots of things we can do around standardization and buying product -- buying in bulk, things like floor tiles and that kind of thing. So I think there's more to go on that, and we've started making really good progress. In terms of the Rest of the World, the cost of [ fitout ] is a lot cheaper as it is in the U.K., it's much closer to around GBP 600, GBP 650 square foot and the paybacks remain broadly the same in the Rest of the World.
Kate Calvert: Kate Calvert from Investec. Just focusing back on the U.S. Obviously, you have combined MRG with InMotion in terms of reporting like-for-likes. But can I push you one last like-for-like number in terms of the performance or the outperformance of MRG versus the 2% you reported for the two businesses? My second question on resorts is should we expect resorts to improve it' performance from probably the fourth quarter? I mean, is it simply a function of annualizing that change of customer mix and obviously, less disruption from things like Formula 1 for the performance to improve. And then the third question is on the U.K. How many of these sort of one-stop formats do you have and what's the potential to grow.
Carl Cowling: So in terms of MRG and InMotion, no, we can't unfortunately because the way we look at it, because we've heard we've moved tech accessories out into the MRG stores. We've almost become our own competitor. So overall, tech accessories are doing well. And in the way that we do in the U.K., we've managed to create the space for the tech accessories, not necessarily damaging ourselves elsewhere. So we think we've made the right moves to -- even though that market is in a bit of a lull in the technology cycle. I think we're making a much better job of maximizing our opportunity there. So for that reason, we wouldn't report on it separately because we create our own competitive tension with InMotion. In terms of results, you're right, we would expect like-for-likes to improve in our final quarter. So in the end of the summer, all of our initiatives are hitting. We're anniversarying things. And then in the final quarter of the calendar year, where we're anniversarying all of that disruption, the MGM cybersecurity incident, the Grand Prix. And again, we should naturally our like-for-like improvement resorts, which is why, in answer to a previous question, I feel relatively confident about resorts in the future results and the prognosis for it. A lot of the reasons why the sales are down, we know it's either one-off events or it's things that we can change in terms of our proposition. And in terms of the one-stop shop, I think what's a really good illustration of the one-stop shop is close to home, London rail. So at its most extreme, we've got Euston Station, which has got a pharmacy and a big health and beauty offer. And our health and beauty sales within Houston Station to several million pounds. What we're doing within other mainline rail stores, that is expanding that health and beauty range. So we've just moved in Paddington to increase the range to 8 meters. I imagine that in 6 months' time, that will become 10 meters. And iteratively, we're moving our health and beauty out as customers become more and more used to selling pain relief and beauty products, and it becomes more natural to them. The productivity in that space improves, and we can find more space for it. So I guess my answer to it to a certain extent in every shop that WH Smith has, will have a range of health and beauty and tech accessories. And as quickly as we can as the space productivity allows, we'll start increasing that space. And that will be worth [ say ] my travel U.K. head is here, a big part of his governance with his team is working through the -- how that generates each and every month, and we're constantly going out to stores and remerchandising.
Alexander Richard Okines: Warwick Okines from BNP Paribas Exane. So multipart question really on the U.S. Could you give a bit more detail about the combination of MRG and InMotion. What the sort of benefits are, what the cost savings are? And also does that open up an opportunity to repurpose some of the stand-alone InMotion stores maybe a little bit more clearly over time if the tech accessories market perhaps doesn't recover?
Carl Cowling: So if I bring it to life and a real example that some of you may see over the next few years in. In LGA and the LaGuardia Airports, we have effectively a shopping center in the new terminal called Barry Bay. We also have a separate InMotion store within that sort of Barry Bay shopping center, we put a tech accessories implant. So we've got a double hit there. So the InMotion store, which is the end of the customer journey, the sales have gone down further because we have given consumers a view on tech accessories before they get there, but the combined total is much, much better for us. That said, the InMotion stores still make absolute sense. We've significantly improved the profitability of InMotion stores since we acquired the business in 2018. The profit margins are much, much higher. And stand-alone, they still make a lot of sense. If you take the last 15 years and look at tech accessories, it's a growth market because it's all of the products that you need to enable your hardware. Now we're in this cyclical lull at the moment because you know from your own kind of way of life, AirPod Pros, have been AirPod Pros now for the last 2 years, there hasn't really been much industry innovation because Apple have sown up that product category because it's so good. And there's kind of been catharsis where people aren't replacing products. That will come -- that cycle always happens. We know it does. It does -- it happens in hardware, and it happens in tech accessories. And you know when there's going to be when new hardwares launched when new phones are launched, there will be accessories that will need to be launched. So it's a very good market to tech accessories. We produce our own brand accessories, our own fashion accessories, which are very high margin. and the tech accessories that we buy off-the-peg are also high margins. It's a great category to be in. So please don't feel negative about the tech accessories category. It's very robust, and it works for us incredibly well in North America and in the U.K. I think I've answered the question. Yes. So we've got -- we've got no intention at all  at all of repurposing in motion. And indeed, where we are tendering for -- in new tenders for packages of six stores, we will still tender for one of those to be an InMotion store -- should we go to the webcast? Are there any questions on the webcast? He says speaking into the sky...
Operator: [Operator Instructions] There are currently no questions on the webcast. I'll hand it back over to you.
Carl Cowling: Well, I wait late for the point. Thank you very much, everyone. Thank you for coming. Thank you.